Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the SuRo Capital's Fourth Quarter and Fiscal Year 2021 Earnings Conference Call. [Operator Instructions] As a reminder, this call is being recorded today, Wednesday, March 9, 2022. I would now like to turn the conference over to Mr. Adam Bates of SuRo Capital. Please go ahead.
Adam Bates: Thank you for joining us on today's call. I am joined today by the Chairman and Chief Executive Officer of SuRo Capital, Mark Klein; and Chief Financial Officer, Allison Green. Please note that a slide presentation corresponding to today's prepared remarks by management is available on our website at www.surocap.com under Investor Relations, Events & Presentations. Today's call is being recorded and broadcast live on our website, www.surocap.com. Replay information is included in our press release issued today. This call is the property of SuRo Capital, and the unauthorized reproduction of this call in any form is strictly prohibited. I would also like to call your attention to customary disclosures in today's earnings press release regarding forward-looking information. Statements made in today's conference call and webcast may constitute forward-looking statements, which relate to future events or future performance or financial condition. These statements are not guarantees of our future performance or future financial condition or results and involve a number of risks, estimates and uncertainties, including the impact of COVID-19 and any market volatility that may be detrimental to our business, our portfolio companies, our industry and the global economy that could cause actual results to differ materially from the plans, intentions and expectations reflected in or suggested by the forward-looking statements. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including, but not limited to, those described from time to time in the company's filings with the SEC. Management does not undertake to update such forward-looking statements unless required to do so by law. To obtain copies of SuRo Capital's latest SEC filings, please visit our website at www.surocap.com or the SEC's website at sec.gov. Now I'd like to turn the call over to Mark Klein.
Mark Klein: Thank you, Adam. Good afternoon and thank you for joining us. We are pleased to share the results of SuRo Capital's fourth quarter and fiscal 2021. 2021 was a momentous year for SuRo Capital as we achieved many milestones as a firm. We reached our highest ever NAV per share, our highest dividend-adjusted NAV per share and our highest year-end net assets under management in firm history. We were able to take advantage of the strong demand for high-growth technology businesses as well as a strong IPO market and M&A environment to monetize over $258 million of our portfolio assets. As a result, we had the most successful year for shareholders in our history, declaring a total of $8 per share, equating to over $212 million in total distributions. To put that quantum of dividends in perspective, our share price at the beginning of the year was $13.02, and our NAV was approximately $302 million. On a percentage basis, our 2021 gains equates to 70% of our NAV and approximately 61% of our share price at the beginning of the year. In addition to the monetization and distribution activities during 2021, we were also able to access the nonconvertible debt markets for the first time, raising $75 million of 6% notes. This capital raise, in addition to the funds we've retained after our sales, gives us the capital to take advantage of opportunities given the dislocation in both the public and private markets. As we have discussed, we felt by late summer, the private and public markets getting a bit frothy. We made it clear to you that we did not intend to immediately deploy the capital derived through our sales and our debt interest issuance, and instead believe there would be better opportunities in the future. We made investments of $11 million in Q4 comprised of a follow-on investment in Course Hero and one new portfolio company. For the year, we made approximately $82 million of investments, which represents less than 1/3 of the funds we received from our dispositions. Turning to Q4. We ended the quarter with a net asset value of $364.8 million or $11.72 per share. This is inclusive of $2.75 per share of dividends declared or payable during the quarter. This NAV compares to a dividend adjusted $12.04 in Q3 and a dividend adjusted $7.14 at the end of 2020. Consistent with our desire to be shareholder-friendly and our continued practice to distribute our realized gains on a transparent and timely basis, on March 8, the SuRo Capital Board of Directors declared an $0.11 cash dividend. The record date will be March 25, and the payment date will be April 15. Please turn to Slide 4. Turning to our top 5 positions. I want to highlight, first and foremost, our cash balance. As of year-end, our cash available for investments was approximately $175 million, representing 40% of our gross assets. As we will discuss in a couple of minutes, we believe having cash in this environment gives us a unique and exciting opportunity to take advantage of market dislocation and volatility. Course Hero, our largest position, announced on December 14 they had raised $380 million and a $3.6 billion valuation as part of their Series C financing, which we also participated in. The company plans to use these funds to accelerate its goal of building a learning ecosystem that meets the evolving range of study needs for today's learners. This aligns with Course Hero's current focus of acquiring companies that expand their already comprehensive catalog of student study materials beyond the traditional college student pursuing a credential. In 2021 alone, the company completed acquisitions of LitCharts, QuillBot, CliffNotes and Symbolab, all of which help them to grow their subscriber base. As previously discussed, on November 8, 2021, Nextdoor was officially listed on the New York Stock Exchange under the symbol KIND via SPAC merger. The merger was completed with Khosla Ventures Acquisition II at an equity value of $4.3 billion, with $674 million in gross proceeds from the transaction, which Nextdoor is planning to use to accelerate the growth on their platform. Last week, Nextdoor reported its fourth quarter 2021 earnings, recording $59 million in fourth quarter 2021 revenue and $192 million in full year 2021. Nextdoor's 2021 revenue beat its prior $181 million guidance, which it gave to investors in September of 2021. This success was attributed to the company's increasing its user engagement, growing its average revenue per weekly active user by 33% year-over-year. In addition, Nextdoor's fourth quarter weekly active users accelerated for a second straight quarter, increasing by 32% year-over-year to 36 million users. We look forward to seeing Nextdoor cultivate hyperlocal communities and build real-world connections as they expand. On February 15, Forge Global released its full year 2021 financial results, generating record revenue and trading volume. The company's net revenue, defined as revenue less transaction-based expenses, grew 75% year-over-year in 2021 to $125 million, $2 million more than its previous forecast. Forge's success was driven by its trading volume, which grew 71% in 2021 to $3.2 billion. In addition to the continued growth of its traditional trading business, which suppressed $12 billion in cumulative trading volume, the company continues to gain traction with Forge Intelligence, its private market data platform sold via subscription. In conjunction with its trading business, this data product is bringing transparency to pre-IPO liquidity and enabling investors to access this market. We're excited to see Forge and Motive complete their SPAC merger whose shareholder vote is scheduled for March 15. We look forward to the continued success by Forge as it provides unique and differentiated service to their users. I'd like to provide an update on our private credit strategy. In February 2020, we announced the expansion of our investment strategy into private credit with the appointment of Keri Findley as Senior Managing Director and senior member of the Investment Committee. Since then, we have evaluated multiple opportunities and have executed 3 private credit investments, each performing at or above expectations. From the onset, we plan to expand the capital pool available for these private investments, including evaluating potential joint external partners. This morning, Tacora Capital Management announced that it had raised $250 million from Peter Thiel in its first close of the fund, which will be led by Keri. We are excited by the launch and are working together to continue our credit strategy. On a more macro basis, I'd like to take a step back to comment on the current conditions in the private and public markets to discuss both what we have seen in 2021 and our go-forward plan to execute on our significant amount of investable capital. As investment managers, we understand that investors hopefully appreciate what we've done for them in the past. However, the true question is, what can we do for them now? U.S. equity markets saw a record volume issuance in 2021, reaching over $650 billion in total issuance, with IPO and SPAC transactions accounting for roughly 50% of that. All major indices reached all-time highs. And since then, the broader market has suffered, and IPO issuance has dropped precipitously. Putting that in perspective, as of yesterday, the S&P 500 was down over 10% from its highs, and the NASDAQ was down almost 20% from its highs. Capital issuance was only $21 billion through the first 2 months of 2022, representing a significant pullback from the peaks in 2021. As investors digest the inflationary environment, the current geopolitical climate and the further impact from COVID-19, it is clear that high-growth technology valuations have been in the subject of heavy scrutiny as 2021 ended and 2022 began. 75% of the 2021 IPOs are now trading below their issue price, and several IPOs have been withdrawn or postponed. SPAC market has experienced similar challenges to the IPO market, with roughly 81% of the closed transactions trading below $10 and investors redemptions on announced transactions reaching a record high of 90%. Additionally, there is a disconnect between the private and public markets that has widened during the second half of 2021 and beginning of 2022. We have remained judicious on valuation during this period. And although our pipeline is as robust as ever, we have made only one investment in the last quarter. Given our significant amount of investable capital, we are excited to seek out new opportunities as companies are once again staying private longer while they avoid turbulent market conditions. As we see the private markets begin to realign with public valuations, we are well positioned to deploy capital. We remain focused on valuation as we evaluate the ever-expanding opportunity set that our firm has seen. Selectivity and patience are needed in volatile markets. And given the size of our investable capital, we are planning to act on opportunities in a prudent and strategic manner. As always, it is our intention to be as transparent as possible in respect to our dividend distributions. Given present market conditions, coupled with lockup restrictions on some of our public securities, we do not currently have enough clarity as to the timing and amounts of our future distributions. As discussed extensively, our intent is to sell our public positions when lockups expire and there is relative stability in the marketplace. As always, our focus is on shareholder value and our intent is to continue to maximize our gains and transparently communicate and deliver an effective strategy to add value to all of our shareholders. As we look towards investments in the future, one area that we have seen significant opportunity and success is in sports technology companies through SuRo Capital Sports. We made our only new investment in the fourth quarter and compliable a software solution for all companies in the gaming industry to manage employee and company licensing as the regulatory landscape continues to shift rapidly. Previously, we mentioned that we plan to dedicate $10 million to the broader SuRo Capital Sport portfolio. Given the growth of sports betting market and its rapid convergence with the sports technology market, we intend to increase the capital dedicated to SuRo Capital Sports to up to 5% of the fund's assets to continue to take advantage of early and mid-stage opportunity in the sports technology space. To date, we've evaluated over 75 opportunities and have deployed $2.5 million and have a robust pipeline ahead that allows us to invest in exceptional founders and entrepreneurs in this space. In addition to sports technology, we see significant opportunity in Web 3.0, the latest Internet technology that leverages blockchain and artificial intelligence and the metaverse, the technology behind creating experiences to bridge reality to the digital world. 2021 was undeniably a breakout year for Web 3.0 as close to 50 crypto start-ups raised over $100 million each and over 40 crypto unicorns were minted. Early funds, such as True Global Ventures, in which SuRo Capital has a $2 million investment commitment, has seen tremendous returns as a result. The valuation of Animoca Brands, a portfolio company of True Ventures, saw an over 500% increase in value since May of 2021. Sandbox, another portfolio company of True Global, saw exponential growth as its token value has gone up from $0.04 at the start of 2021 to almost $6 by the end of the year. As Bloomberg expects the metaverse to have a market size of $800 billion by 2024 and there has been over $30 billion invested globally in Web 3.0, SuRo Capital has begun evaluating its own investment thesis within the space. In particular, we view the infrastructure technology behind these trends as highly attractive. As consumers continue to flock to different segments of the metaverse, we have begun to engage in dialogue with B2B technology providers who, we believe, may be able to benefit from the broader tailwinds in the space. Looking ahead, we believe that volatility in the public and private markets allows us opportunities to be patient and selectively - and selective given the capital that we have. We will continue to focus on democratizing access to the venture capital ecosystem. And as always, we'll maintain our key philosophy in investing in great companies to deliver value for our shareholders. Thank you for your attention. And with that, I will hand it over to Allison.
Allison Green: Thank you, Mark. I would like to follow Mark's update with a more detailed review of our fourth quarter investment activity and financial results as of December 31, 2021, including dividends declared, the 6% notes due 2026 and our current liquidity position. First, I will review our investment activity. During the fourth quarter, we invested a total of $11 million in new and follow-on investments. New investments during the fourth quarter include: a $10 million follow-on investment in the Series C preferred shares of Course Hero and a $1 million investment in the Series Seed-4 preferred shares of Rebric doing businesses compliable through our SuRo Capital Sports vehicle. During the fourth quarter, we sold our remaining position in the public shares of Coursera and began selling our public shares of NewLake Capital Partners and Skillsoft as restrictions on those 2 holdings had been lifted. We sold our remaining 1,509,090 public common shares of Coursera at an average sale price of $34.35 per share for approximately $51.8 million of net proceeds, resulting in a net realized gain of approximately $42.4 million. We sold 167,755 shares of NewLake Capital Partners, formerly GreenAcreage Real Estate Corp for approximately $4.7 million of net proceeds and $1.4 million of net realized gains. We sold 18,157 shares of Skillsoft for approximately $200,000 of net proceeds, resulting in a net realized gain of approximately $47,000. In addition to sales of our unrestricted publicly traded investments, we also received approximately $2.9 million related to the exit of our investment in Tynker, resulting in a net realized gain of approximately $2.6 million, including approximately $400,000 currently held in escrow. During 2021, we exited or received proceeds from investments of over $259 million, not including investment income received. This resulted in realized gains of over $218 million. During 2021, we also deployed approximately $81.7 million in new and follow-on investments. Subsequent to year-end, we continued to liquidate our position in NewLake Capital Partners, selling an additional 27,352 shares for approximately $800,000 of net proceeds, resulting in a net realized gain of approximately $200,000. Additionally, on January 31, 2022, our public shares of Rover became unrestricted, and we sold 42,744 shares to date for approximately $300,000 of net proceeds, resulting in a net realized gain of approximately $150,000. We plan to sell the remaining shares of NewLake Capital Partners, Skillsoft and Rover, consistent with our previously stated public investment sales strategy. Segmented by 6 general investment themes, the top allocation of our investment portfolio at year-end is to Education Technology, representing approximately 42% of the investment portfolio at fair value. Financial Technology & Services was the second largest category, representing approximately 28% of the portfolio. The marketplaces category accounted for approximately 19% of our investment portfolio, and approximately 6% of our portfolio is invested in Social & Mobile companies. Big Data, Cloud accounted for approximately 5% of the fair value of our portfolio, and sustainability accounted for less than 1% of the fair value of our portfolio as of December 31. We are pleased to report we ended the fourth quarter and fiscal year 2021 with an NAV per share of $11.72, which is consistent with our financial reporting. The decrease in NAV per share from $14.79 at the end of Q3 was largely driven by $2.75 in dividends declared during the fourth quarter. Also contributing to the decrease were $0.09 per share decrease related to net investment loss and $1.71 per share decrease in unrealized depreciation of our portfolio investments. However, this net decrease is substantially related to the exit of investments during the quarter and almost fully offset in net realized gains. These decreases in NAV per share were partially offset by $1.49 per share increase attributable to net realized gains among other smaller fluctuations. During the fourth quarter, SuRo Capital declared 2 dividends for a total of $2.75 per share. On November 2, 2021, SuRo Capital's Board of Directors declared a dividend of $2 per share paid on December 30, 2021, to the company's common stockholders of record as of the close of business on November 17, 2021. The dividend was paid in cash and shares of the company's common stock. On December 20, 2021, SuRo Capital's Board of Directors declared a dividend of $0.75 per share paid on January 14, 2022, to the company's shareholders of record as of the close of business on December 31, 2021. This dividend was paid in cash. The dividend declared have been categorized as net long-term capital gains for tax purposes. In total, for 2021, SuRo Capital has declared $8 per share in dividends for total distributions in excess of $212 million. All 2021 dividends were categorized as nonqualified net long-term capital gains for tax purposes. As Mark mentioned, subsequent to year-end on March 8, 2022, SuRo Capital's Board of Directors declared a dividend of $0.11 per share payable on April 15, 2022, to the company's shareholders of record as of the close of business on March 25, 2022. The dividend will be paid in cash. All 2022 dividends declared to date are expected to be categorized as net long-term capital gains for tax purposes. The date of declaration and amount of any dividend, including any future dividends are subject to the sole discussion of SuRo Capital's Board of Directors. The aggregate amount of dividends declared and paid by SuRo Capital will be fully taxable to shareholders. The tax character of SuRo Capital's dividends cannot be finally determined until the close of SuRo Capital taxable year. SuRo Capital will report the actual tax characteristics of each year's dividends annually to stockholders and the IRS on Form 1099-DIV subsequent to year-end. Registered stockholders with questions regarding declared dividends may call American Stock Transfer at (800) 937-5449. Shareholders who hold their shares through a bank, broker or nominee are encouraged to contact their bank, broker or nominee for additional details on how their bank, broker or nominee will process any dividend. Shareholders can find additional information regarding the dividend in the Investor Relations section of SuRo Capital's website at www.surocap.com. On December - in December 2021, we issued $75 million aggregate principal amount of 6% notes due 2026, which bear interest at a fixed rate of 6% per year, payable quarterly in arrears on March 31, June 30, September 30 and December 30 of each year, commencing on March 30, 2022. We received approximately $72.8 million in proceeds from the offering, net of underwriting discounts and commissions and other offering expenses. The 6% notes due 2026 have a maturity date of December 30, 2026, unless previously repurchased or redeemed in accordance with their terms. We have the right to redeem the 6% notes due 2026 in whole or in part at any time or from time to time on or after December 30, 2024, at a redemption price of 100% of the aggregate principal amount thereof plus accrued and unpaid interest. The 6% notes due 2026 are listed for trading on the NASDAQ global select market under the symbol SSSSL. Finally, I would like to review SuRo Capital's current liquidity. We ended the quarter with approximately $215.4 million of liquid assets, including $198.4 million in cash and approximately $17 million in unrestricted public securities. This does not include approximately $27.6 million in public securities subject to certain lockup provisions at year-end. Our cash balance of $198.4 million as of December 31, 2021, consisted primarily of proceeds from 75 million 6% notes due 2026 raised in December 2021 and monetization of various portfolio positions throughout 2021 and 2020. The approximately $17 million of unrestricted public securities held as of year-end represent our shares in NewLake Capital Partners and Skillsoft valued at the December 31, 2021, closing prices of $28.68 and $9.15, respectively. The $27.6 million of public securities subject to lockup provisions or other sales restrictions as of year-end include our positions in Rover, Nextdoor, Enjoy, Rent the Runway and Kahoot valued at their December 31, 2021, closing public share prices less a discount for lack of marketability related to the lockup provision. On January 31, 2022, our public common shares of Rover became unrestricted. We anticipate our public common shares of Enjoy to become unrestricted in mid-April, our shares at the Rent the Runway to become unrestricted in late April, and our shares of Nextdoor to become unrestricted in early May. As of December 31, 2021, there were 31,118,556 shares of the company's common stock outstanding. At present, there are 31,322,127 shares outstanding. That concludes my comments. We would like to thank you for your interest and support of SuRo Capital. Now I will turn the call over to the operator to start the Q&A session. Operator?
Operator: [Operator Instructions] And we'll take our first question from Mark Palmer with BTIG.
Mark Palmer: Congratulations on the really strong 2021. Now we had already seen weakness in the tech markets, particularly on the public side, at the latter part of 2021 and then heading into 2022. Now as you said during your prepared remarks, we have the addition of geopolitical-driven volatility. Can you talk a little bit about what you're seeing in the private markets relative to the public markets? I know as you've said before, there has been a gap there. Has that gap shrunk to any extent? Has there been any impact from the ongoing weakness in the public market and all the other exogenous factors, geopolitical, inflation, et cetera?
Mark Klein: That's a great question, Mark. And first of all, thank you for your ongoing support, and obviously, your insights in all things, Web 3.0 and metaverse is greatly, greatly appreciated. So I wanted to say thank you. In respect to your question, as in any markets, you have this sort of disconnect of what people think something is worth because it was worth that at some point in time and what folks are willing to pay for it. And we started to see that as we were coming through the end of Q4, and it's continued in Q1. What we have seen, and I think this is pretty well documented, is term sheets are being restruck, term sheets are being pulled. Rounds - that where companies thought they would do another round at a higher value, they're now coming as extensions of prior rounds or they're flipping to some sort of convertible securities. So you're seeing broadly - and there's obviously exceptions for what would be considered maybe outstanding companies or highly coveted companies. But broadly, you're seeing that sort of weakening in the marketplace, which is a bit of price concessions by issuers and changing of the types of securities in order to try to maintain prior valuations. Thank you very much.
Operator: We'll take our next question from Kevin Fultz with JMP Securities.
Kevin Fultz: In your prepared remarks, you talked about a strong pipeline of investment opportunities. Can you talk a bit more about how you think about deploying capital in the current environment risk-off and derating? Do you look at it as a potential opportunity to lean into investment activity a bit more at more attractive valuations? Just curious if you could talk about the opportunities that you're seeing right now.
Mark Klein: Sure. And thank you, Kevin, and your team also being so supportive of us. Look, I mean, we've been pretty clear over the last period of time probably since sometime in late Q3 when we started looking to analysts and investors as well as investor calls that we felt the markets were getting expensive, and we'd clearly pulled back. We pulled back through Q4 and the early part of this year. We are here to invest investors' capital. We're not here to have a big cash balance, but we're here to be selective and judicious. We are seeing at least the same amount on a quantum of names come through our system, through our process. We're - but we're still not seeing the valuation give up on a lot of names that make some of these compelling, but we are very, very active in the marketplace and would naturally start to lean in as valuations started to break and come back more in line with sort of where the public is right now and maybe a little less frothy. So thank you.
Operator: We'll take our next question from Alex Paris with Barrington Research.
Alex Paris: My congratulations as well for the strong 2021. I get it, and I appreciate your cautious view with regard to new investments in this environment. Just wondering what your thoughts are with regard to share repurchases, putting some of that money to work and buying your stock below NAV, particularly since during the fourth quarter, the Board extended the program - the term of the program to October, $40 million.
Mark Klein: Alex, and again - and thank you for your ongoing support for us. You know us well enough to know that we're very hyper-focused on shareholder value - creating shareholder value. We've used a buyback and even a Dutch tender offer in the past. We will - if the disconnect on our share price versus our NAV starts to be meaningful, we will, of course, deploy - we always have in the past, and we will continue to utilize a buyback as a way to - for accretion for our shareholders and help to create shareholder value. So we clearly have that tool - as a tool in our toolbox, which we have used for years, and we will do that again if there's - the opportunity presents itself. So thank you.
Operator: We'll take our next question from Lou Greif with Morgan Stanley.
Louis Greif: Quick question. Course Hero - could you give us some more color? I mean, obviously, they just raised another round recently. And what their thoughts are in terms of kind of monetization? Is that a 2022 event, 2023 event? Any thoughts?
Mark Klein: Sure. And Lou, thanks and thank you also for your ongoing support for us. Look, Course Hero is a spectacular company. The management is really strong. The Board of Directors is very focused on helping them to drive the value that they're trying to create. I think they're very thoughtful of - on how they want to proceed. Obviously, they raised an awful lot of capital at the end of last year. It puts them almost at the top of the pile with the ability to use cash to make acquisitions, to use their currency to make acquisitions. So I don't know their timetable to create a monetization event, but they have certainly now gotten to the scale at the last round and with their capital and with their acquisition strategy to consider alternatives for themselves in the coming period of time. Thank you.
Operator: Thank you. And that does conclude today's question-and-answer session. I'd like to turn the conference back over to management for additional or closing remarks.
Mark Klein: Well, thank all of you for spending the time with us this afternoon. It's greatly appreciated. We did have a very, very strong 2021. But it's 2022 right now, and we have our work cut out for us to continue to drive shareholder value and returns. And we all are working diligently. We do have the capital to deploy and the deal flow to deploy it against. And we look forward to speaking to you after our Q1 earnings release. So thank you very much. Greatly appreciated.
Operator: Thank you. That does conclude today's conference. We thank you for your participation, and you may now disconnect.